Operator: Good day and welcome to the NetSol Technologies' 2016 Fourth Quarter and Year End Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Patti McGlasson, Senior Vice President, Legal and Corporate Affairs, General Counsel, and Corporate Secretary. Please go ahead.
Patti McGlasson: Good morning, everyone and thank you for joining us today to discuss NetSol Technologies' fiscal 2016 fourth quarter and full year results. On the call today are Najeeb Ghauri, Chairman and Chief Executive Officer; Roger Almond, Chief Financial Officer; Naeem Ghauri, President Global Sales; and Jeff Bilbrey, President NetSol Americas. Following a review of the company's business highlights and financial results, we will open the call up for questions. The call is scheduled for one hour. Please note that all of the information discussed on today's call is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. The company's discussion may include forward-looking information reflecting management's current forecast of certain aspects of the company's future and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in our 10-K and Quarterly Reports on Form 10-Q. I would also like to point out that NetSol will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP measures. In addition, I'd like to remind everyone that today's call is being webcast at www.netsoltech.com. Following the conclusion of the call, the webcast may be accessed on the NetSol website, where it will be archived for one-year. With that, I will now turn the call over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Patti, and good morning, everyone. Thank you for joining us today on our fourth quarter and full fiscal year 2016 earnings call. We ended fiscal 2016 on a high note, achieving record revenue for the fourth quarter and full year and exceeding our guidance of both revenue and adjusted EBITDA. I'm very excited and pleased to report watershed full year results today. Our 2016 results reflect continued solid demand for our solutions, investments we are making to drive deeper penetration of our products and services in the market, and strong execution and a commitment to service excellence by the entire NetSol team. I'm proud of what we have accomplished over the past year and I believe NetSol is in a position of strength entering fiscal year 2017, based on the following factors. First, our qualified new business pipeline is robust and growing and we see significant opportunities for further expansion across all our markets in fiscal 2017, which Naeem and Jeff will discuss in greater detail in just a moment. Second, our competitive position remains strong, supported by our robust set of differentiated solutions and we are increasingly being viewed as the partner of choice in the global leasing and finance industry. And last but not least, our customer base is the strongest in our company's history, providing us with a global base of over 200 clients to pursue additional upgrade and expansion opportunities over time. Based on the momentum we are seeing in our business, we believe we are well-positioned to deliver on our revenue and adjusted EBITDA outlook of fiscal year 2017, which Roger will discuss later in the call. Now, turning to an overview of our fiscal 2016 financial results, total net revenues for the fourth quarter were $19.1 million, representing an increase of 24% from the prior year period. For the full fiscal year, we posted record net revenues of $64.6 million, representing 26% year-over-year growth, compared to our prior revenue guidance of at least $62 million. Our growth in Q4 and the full year continued to be driven by new customer implementations, including the NFS Ascent implementation in the U.K., and the 12-country $100 million Ascent contract, as well as continued cross-sales of additional solutions into our customer base and change request from existing clients. Our GAAP net income attributable to NetSol improved to a positive $2.1 million in the fourth quarter of fiscal 2016, from a loss of $707,000 in the prior year. And for the full year, we generated $3.4 million of net income compared to a loss of $5.5 million in fiscal 2015. Lastly, our adjusted EBITDA more than doubled year-over-year to $4.1 million in Q4, while our full year EBITDA more than tripled on a year-over-year basis to $10.1 million. Now, I'd like to provide you with an update on the ongoing 12-country, $100 million contract -- Ascent contract, the first round of implementations, which began in our fiscal third quarter are on track and began to contribute to our revenue growth in the fourth quarter. We're pleased with the progress we have made so far on our largest implementation in the history of our industry. Also importantly, the 12-country NFS Ascent implementations continues to serve as a strong reference point and is having a positive impact on new and existing client interactions and engagement around Ascent across all our markets. As we enter fiscal year 2017, our differentiated platform of solutions and services is stronger. Our customer base is larger and our pipeline is greater and we have a meaningful opportunity to expand in all our markets. With that said, our markets are at different stages of development and we're still in investment mode to ensure we're properly positioned to continue gaining market share. Therefore, in fiscal 2017, we'll continue to invest in our processes, new tools, and systems to improve quality, efficiencies, economies of scale, and productivity for software development and service delivery. Additionally, we're investing in our sales and marketing platforms and in expansion of our global senior line management team to capitalize on these significant market opportunities. With that, I'll turn the call over to Naeem to provide more color on our global pipeline. Naeem?
Naeem Ghauri: Thank you, Najeeb. Good morning everyone. As Najeeb mentioned, our new business pipeline is strong and it continues to grow across all our markets. As in previous periods, the pipeline includes potential new deals of various sizes and complexity, including new NFS and NFS Ascent customers, conversion of NFS customers to our Ascent platform as well as new NFS Mobility, LeaseSoft, and LeasePak opportunities. Over the past year, we have made strategic investments across our business to drive both new customer additions and further penetration of our existing client base. We've expanded and augmented our solution set, hired new senior management members such as Jeff Bilbrey to lead our North America operations, added to our sales staff and product staff, and expanded our marketing efforts. I'm pleased to say that we are seeing solid early results from these investments in terms of our sales pipeline growth. Today, our qualified new business pipeline in North America and in Europe is larger than at any point, -- especially from last year and are both performing ahead of our expectations through the end of August. In addition, our new business pipeline continues to perform in line with our expectations in our Asia-Pacific markets, driven by broad-based demand across all our target geographies, and especially in China and Thailand. Focusing on China for a moment, the government's easing a regulatory requirements necessary to establish a leasing company continues to promote a rapid increase in new leasing companies being formed in the Chinese market. This trend, combined with the growing middle-class and greater consumer adoption of utilizing financing options to purchase automobiles is driving increased demand in the Chinese market for leasing and finance software and services. Our leadership position in China gives us confidence that we will continue to benefit from these secular tailwinds and we expect to generate more business from leasing companies in China in fiscal 2017 than we did in fiscal 2016. During the year just closed, we have signed and installed more NFS clients in China than ever and we continue to see the strength on the increase in the current year. We also see increasing interest from our existing clients in China to upgrade to Ascent. This inorganic growth from news prospects represent an additional segment of our pipeline. With respect to NFS Ascent, globally and in general, we remain very enthusiastic about the level of demand we're seeing, and the growth of our new business pipeline for this solution. Our sales and marketing efforts continue to benefit from our major implementations in Europe and APAC, which are providing a strong reference across all our geographies and helping to drive increased customer interactions around Ascent. On the competitive front, the landscape remains largely unchanged, as it relates to whom we compete with and pricing trends. Both new and existing customers increasingly recognize the value we deliver, which is a basis of our strong market share and is further validated by recent industry awards we have received. For example, NetSol was recently named the First Rate and Best-Selling Finance and Leasing Solution Provider in China for 2016. This is the fourth consecutive year that NetSol has won this prestigious award, which is based predominantly on how a software solution performs in the market in terms of sales and how it performs in comparison to its competition. Now, I'll touch briefly on our efforts in the Americas, as Jeff shall provide more color shortly. Since Jeff has taken over the newly-created role of President of NetSol Technologies Americas, we have seen growing engagement and inquiries from both our existing clients, as well as new prospects. I'm very optimistic that in this fiscal year, we will make strong forward progress toward unlocking the potential of Ascent in the U.S., with the new energy initiative that Jeff has launched. I will now turn the call over to Jeff to provide some additional detail on our strategy and outlook for the North America region. Jeff?
Jeffrey Bilbrey: Thank you, Naeem. As both Najeeb and Naeem mentioned, we see significant opportunity for further expansion in the North America Leasing and Finance market. That's a market which represents a total addressable market nearly equal to the size of the rest of the world combined in terms of sales targets. Since I joined the company in May, we've established a new go-to-market strategy, continued to make strategic investments in our solutions, and expanded our sales and marketing outreach, with a goal of improving our customer engagement and driving deeper relationships with our current North America client base, while also increasing our market awareness to drive new customer wins. More specifically, we've hired new senior staff to bring increased credibility, talent, and leadership to key roles in North America. We've hired and retained sales, product management, and senior consultant staff, to drive increased lead-generation, and satisfy ongoing and increasing demand from clients. We've increased our marketing and partner channel efforts to grow our visibility in the North America market and attract new logos. As I'd mentioned, we've made investments in our solutions, including revitalizing our LeasePak cloud offering to run in the Azure cloud, and augmenting the capabilities and features in our NFS Ascent product, now purpose-built for the U.S. Tier-1 market. And we've significantly stepped-up our outreach to existing clients, to affirm our commitment to their success, seek closer relationships, align with their strategy, and try to grow our footprint within each of those existing clients. While it's still early days for several of these initiatives and we have a lot of work to do, I'm pleased to say that our strategy is already showing early signs of paying dividends. In the last three months, we've seen a solid increase in our sales pipeline with opportunities ranging from farming new opportunities with existing clients, to net new leads with prospects ranging from start-ups and mid-tiers, to several global Tier-1 organizations. Two recent success stories here in NetSol North America include a Tier-1 automotive finance captive client that purchased a major product upgrade from us, and significantly increased the number of new licensed users. And one of the world's largest global truck manufacturers is transitioning to the final stage of implementation onto our platform. With that, I'll now turn the call over to Roger Almond to review our financial performance. Roger?
Roger Almond: Thanks Jeff. I will begin with a review of our fiscal fourth quarter and full year 2016 financial results and then conclude with a discussion of our fiscal 2017 guidance. Total net revenues for the fourth quarter were $19.1 million, representing a 24% year-over-year growth. Our revenue performance in the quarter was driven predominantly by strong growth in license fees related to our new NFS Ascent implementations. Total net revenues for fiscal year 2016 reached a record $64.6 million, up 26% from $51 million in the prior year, reflecting strong growth in license fees and service revenues. Total license fees for the fourth quarter were $4.2 million, compared with $1.4 million in the fourth quarter of 2015. Our strong performance in the quarter reflects increased license fees from our NFS Ascent implementation in the U.K., and the 12-country, $100 million Ascent contract. For the year, license fees were $8 million, up 26% from $6.3 million in the prior year, driven by our entire portfolio of solutions. Maintenance fees for the fourth quarter of 2016 were $3.8 million, up 13% from $3.4 million in the prior year period. Maintenance fees for the full fiscal year were $13.7 million, up 9% year-over-year, driven by the start of new maintenance agreements from customers who went live with our product during the latter part of fiscal year 2015 and into fiscal year 2016. Our services revenues were $11 million for the fourth quarter, up approximately 4% from $10.6 million in the prior year period. This was driven by new systems implementations, as well as existing client enhancements and change order requests. For the full year, services revenues increased 34% to $42.9 million, driven by NFS Ascent implementations, NFS implementations, as well as additional services provided to existing customers for customizations and enhancement requests. Moving forward, with implementation of new NFS Ascent projects, we continue to anticipate our services revenue to increase more compared to the license fees. Total cost of revenues were $8.8 million for the fourth quarter, a decrease of approximately 16% from the fourth quarter of 2015. The decline in cost of revenues was predominantly driven by lower depreciation and amortization expense, as some products became fully amortized as well as lower consulting costs. For fiscal year 2016, cost of revenues were $33.7 million or 52.3% of total net revenues, up slightly from $33.6 million or 64.8% of total net revenues in the prior year. Gross profit for the fourth quarter more than doubled to $10.3 million or 53.9% of total revenues from $5 million or 32.2% of net revenues in the prior year period. For the year, gross profit increased 76% to $30.8 million or 47.7% of total net revenues from $17.5 million or 34.2% of net revenues last year. Operating expenses for the fourth quarter were $7.3 million, an increase of 38% from $5.2 million in the same period last year, driven primarily by higher general and administrative expenses related to strategic hires and higher selling and marketing expenses. For the full fiscal year, total operating expenses were $24.5 million, up 8% from $22.6 million last year. The increase was due primarily to higher selling and marketing expenses related to increases in salaries and commissions, expanded business development programs to market and sell NFS Ascent globally, as well as higher G&A expenses, which were partially offset by lower depreciation and amortization expenses. GAAP net income attributable to NetSol for the fiscal fourth quarter of 2016 was $2.1 million or $0.19 per diluted share compared with a net loss of $707,000 or a loss of $0.07 per share in the prior year period. Net income for the full year was $3.4 million or $0.32 per diluted share compared with a net loss of $5.5 million or a loss of $0.57 per share in fiscal 2015. The increase in our revenues and operating income in fiscal 2016 were partially offset by higher losses from foreign currency exchange transactions, lower other income, and higher net interest expense. Moving to our non-GAAP metrics, adjusted EBITDA more than doubled year-over-year to $4.1 million for the fourth quarter or $0.38 per diluted share. For the full fiscal year 2016, our adjusted EBITDA was $10.1 million or $0.96 per diluted share. This compares to adjusted EBITDA of $3.3 million or $0.34 per share in fiscal year 2015. As we discussed in our earnings press release today, beginning with the fourth quarter, we have revised our calculation of adjusted EBITDA to exclude the portion of adjusted EBITDA that is attributable to our subsidiaries that have a minority interest. We believe this supplemental disclosure provides additional insights to measure the operational performance of our business. Please see the schedules contained in our earnings press release for our revised calculations of adjusted EBITDA for the fourth quarter and fiscal year ended June 30, 2015 and 2016. At June 30, 2016, cash and cash equivalents were approximately $11.6 million compared to $14.2 million at June 30, 2015. During the year, we purchased 1.374 million shares of NetSol PK common stock for approximately $767,000, resulting in an overall increase in our ownership to 67%. Turning now to our fiscal 2017 guidance. As discussed on today's call, we're optimistic about the year ahead, given the strength of our new business pipeline and multiple expansion opportunities. In fiscal 2017, we will continue to make investments in our solutions, our service delivery model, and in our people, in order to deliver even greater value to our customers. And we will continue to invest in our sales and marketing platforms to drive increased awareness and acceptance of our products. With respect to Britain's decision to move away from the European Union, the immediate impact on NetSol will be the recent decline in the British pound versus the U.S. dollar. While it is still too early to determine the longer term impacts of Brexit, we're carefully monitoring this situation and remain in constant contact with our customers and we will inform the market as the year progresses and we know more about the potential impacts of this development. For fiscal year 2017, we currently expect to generate net revenues of $73 million to $75 million, representing growth of 13% to 16% year-over-year and adjusted EBITDA of $13 million to $14 million, representing a growth of 28% to 38% year-over-year. With that, I will now turn the call back over to Najeeb for some closing remarks.
Najeeb Ghauri: Thank you, Roger. In conclusion, we remain excited about the breadth of growth opportunities available to NetSol. Our new business pipeline is robust and our competitive position remains very strong. We will continue to make targeted investments across our business to drive expansion in all our markets and we believe we're well-positioned to deliver on our revenue and adjusted EBITDA growth outlook in fiscal year 2017. Looking ahead, our top priorities are clear. We will remain intensely focused on maximizing profitable growth and driving toward the next major milestone for NetSol of achieving $100 million annual revenue through; one, driving new net new customers, growth across all our markets, with an increased focus on North America where we see significant opportunity for NetSol. Also demonstrating excellence across our client base and expanding our presence with all our existing customers, continuing to successfully execute our $100 million plus 12-country Ascent implementation, hiring and developing the best talent in the industry, and providing an environment that encourages innovation and high levels of engagement, and selectively pursuing new channel partnerships and strategic alliances to expand NetSol offerings in key markets. With that, I'd like to open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Howard Halpern of Taglich Brothers. Please go ahead.
Howard Halpern: Congratulations. Great way to end the year and start the New Year.
Najeeb Ghauri: Thank you.
Howard Halpern: In terms of -- I guess the license revenue, in 2016; it was 12% of total revenue. Do you expect that based on the implementation of the $100 million contract, you'll be able to maintain that level of new license revenue?
Najeeb Ghauri: I believe so, simply because we were maturing in the fiscal year. This will be the second year for the implementation plans. And I think Roger and Naeem can give you more color, but we believe we will grow license this year, yes.
Howard Halpern: And that will help the margins maintain above the 50% level?
Najeeb Ghauri: That's our goal, Howard.
Howard Halpern: All right. And one other question regarding North America and what is the true or the new go-to-market strategy? And when you talk about the ultimate goal in total revenue of $100 million annual run rate, when you achieve that, what do you anticipate or what do you hope for North America contributing to that number?
Najeeb Ghauri: Initially, obviously that big milestone is very important in terms of strategic goal for the company. North America, as you know, is the biggest market of the leasing and asset finance business. We have put a strong team in place. Jeff will give you more color. But we really believe that going forward, both China and U.S. will become a very, very strong contributor to our revenue growth in the coming years. Jeff, do you want to add some color?
Jeffrey Bilbrey: I can say that the go-to-market strategy is, number one, really to leverage the global brands that we have as existing clients. That's something that shows very well to prospective new clients here and also frankly, we've got a lot of great clients here in North America. So, we want to deepen the relationships with them. We see actually a huge opportunity with our current clients that represents a significant new and continued revenue stream with them. With respect to products, it really needs to and will be a continuation of an all of the above strategy. So, while we have some LeasePak clients here, for example, Ascent is the new product with new architecture, new and improved functionality, and represents a significant opportunity to go capture new logos here in North America. So, that go-to-market is truly an all of the above strategy.
Howard Halpern: Thanks. I'll rejoin the queue.
Najeeb Ghauri: Thank you.
Jeffrey Bilbrey: Nice question [ph] Howard.
Operator: The next question comes from Mike Vermut of Newland Capital. Please go ahead.
Mike Vermut: Hey, guys, that was a fantastic quarter there.
Najeeb Ghauri: Thank you, Mike.
Jeffrey Bilbrey: Thank you.
Mike Vermut: I've got a few questions here. First of all, where -- you did a great job on the gross margin line. Where can we see that moving over the next year or two years? What should be our modeling, for modeling purposes? What's the best guess at that?
Najeeb Ghauri: I believe, and of course Roger can help you on that, we believe, Mike, as you can see from the fiscal year 2016, our cost of goods sold has kind of stabilized and has not grown -- I think it actually went down, as the promise we made in the previous call that we are not hiring the direct programmers, engineers at the level we used to, to build support for the Ascent platform. But I think it is on the positive side. It will continue to grow around 50% range. Am I right, Roger?
Roger Almond: Yes, that's correct. We'll continue to give raises to our programmers and engineers over there, but as Najeeb said, our hiring is -- we're not hiring at the rate we did in the previous year. So, we continue to see that gross margin will improve as our revenues increase, and our cost of goods doesn't increase at the same rate.
Naeem Ghauri: Excellent. Great.
Naeem Ghauri: I think just want to add one thing, one point. This is Naeem. If you look at the line on the cost of consultants and typically the salaries for developers, that line has stayed pretty stable year-on-year.
Mike Vermut: Right.
Naeem Ghauri: More or less exactly where, give or take a few thousand dollars. And then the line for services has grown by $10 million over the year. So, you can start to see the scale and the company starting to impact the revenue, and not so much the cost.
Mike Vermut: Right. It's exactly what we've been looking for. It's great. Okay. So, the guidance is roughly a cash EPS number between $1.30, $1.40. And -- now, that excludes non-controlling interest?
Najeeb Ghauri: Roger, please?
Roger Almond: Yes. Yes, that is correct. If you look at the schedule, what we did this year, which I think provides some pretty good guidance, is if you look in the press release, it shows the EBITDA, our adjusted EBITDA. We provide two numbers. One is a gross EBITDA, which basically shows an enterprise value and that number comes in about $14.5 million. Then what we do is we take out all of the depreciation, interest, income taxes, et cetera, that's associated with the -- that would be the minority interest piece, and we take that out to come up with just an adjusted EBITDA that would be our -- what we represent, which drops down to $10.1 million. So, we provide both numbers, so that people can look at it and see what it is at an enterprise value or what's attributable to NetSol.
Mike Vermut: That's all. Okay. Got you. Okay. Then I know you touched on the $100 million goal. I don't think you gave a time for that. But we're seeing the business grow 25% to 30% right now, EPS, much better than that. The leverage is really starting to show through on the model. For modeling purposes, are we -- for a conservative basis, to assume 15% to 20% type growth over the next few years just looking at the pipeline that's out there?
Najeeb Ghauri: It's a good comment, Mike. Look, we just lay out our strategy for North America which is very important for the company's long-term vision growth and that, like I said before; will play a big part in a very major way. So, this prediction obviously based on what we know today, given the implementation phases and the new deals in pipeline, we'll be in a much better position to update it or upgrade if you need it may be on the second quarter. We feel really comfortable with this outlook right now.
Mike Vermut: Excellent, excellent. And then Naeem, can you go through -- you have this get Ascent contract out there. What types of deals are in the pipeline? How much migration or requests or discussions about migration to Ascent are occurring? And what are the sizes of the deals out there? Doesn't have to be next month, but over the next few months, six, nine months, what types of deals are there? Are there these large deals that are being worked on?
Naeem Ghauri: Okay. If you know the existing program we signed, is for an existing client, right. So, this is your best example of a client migrating in 13 markets from the legacy platform to Ascent. So, that deal in size and scale is huge, and will continue to grow over time. The other clients that we have -- so you'd have like I say, several clients who have multiple sites and others who have single sites. So, all the big R1 clients, auto captive or non-auto captive, are potentially upgrade targets for us. The interesting thing that's happening, Mike, is that we're getting organically new prospects, which have never been our prospects in the past. Due to Ascent, this new launch and the program that we've signed with this client, all of a sudden, there's new interest from Tier-1 clients. These are the kind of clients we never attracted before, but these are the top banks, the top OEMs, the top captive finance companies. So, their propensity to spend is a lot higher than anything we've experienced in the past. So, the Ascent world is a different world to R1 and it's a different target audience. And so we're in a new ballgame altogether as opposed to where we were three to four years ago. So, it's a bigger ticket sale, no doubt, than to what R1 was. If we sold something for $2.5 million in R1, it would be double that at least or more in Ascent. Just purely because of the amount of consultancy that we do, the license that we can charge and all the other professional services that go with the program, it gives us many, many more opportunities to add to their revenue.
Mike Vermut: Excellent. And then what is the margin -- as we move to increased revenue from the Americas, from Europe, how do we look at the margin profile as we start -- if we can get to 20%, 30% from the Americas and Europe? What changes on the margin? I assume you get significantly better margin out of those regions.
Najeeb Ghauri: Yes, I think North America by experience, even in the past, we believe that -- because we still use delivery capability mostly in our offshore location, and that gives us a much bigger advantage in the cost arbitrage. And of course, as you know, as the North America team started to really get new deals, the bigger deals, I think this will have a positive impact -- a bigger impact on our gross margins, and of course, net margins.
Naeem Ghauri: I just want to add one thing.
Najeeb Ghauri: Sure.
Naeem Ghauri: I'm sure, Mike, you know that the LeasePak platform in the U.S. and the LeaseSoft platform in the U.K. both were essentially serviced from on-shore resources. They were U.S. and U.K. based resources. Our cost, if you like, the cost lines were much, much higher. Ascent is purely all developed in Lahore, so even for the U.S. and the U.K.; we are able to use the cost arbitrage, which is the Lahore developer as opposed to the U.S. developer. So, essentially the whole business model changes, not only the top line increases, but we're able to leverage more of the Lahore resources, and on the front line, we typically only have program and project managers and business consultants and all the other hard core development is done in Lahore, which is a big change from the legacy product in the U.S. and the U.K.
Mike Vermut: Excellent. Now, would you be disappointed in not recognizing revenue this year, but we didn't see some significant Ascent contracts in the U.S. or Europe this fiscal year?
Najeeb Ghauri: Naeem, you want to answer that?
Naeem Ghauri: Europe -- yes, okay. So, -- look, again, we have to be careful because these are -- these sales cycles are normally quite long. But certainly in terms of where we are in mature pipeline and to the qualified deals in the pipeline, we are ahead of our projections in Europe, and I think in the U.S., Jeff mentioned that all kinds of deals are popping into the pipeline. So, I think in terms of qualified opportunities on -- in terms of tracking our revenue for this year, we're very happy with where we are. So, we could potentially have deals in this year, yes, absolutely.
Mike Vermut: Great. Excellent. Okay. And then to touch on this subject here, our valuation, we're trading at five times cash earnings.
Najeeb Ghauri: Yes.
Mike Vermut: We're growing 30% on the topline and we're growing -- this year, we grew almost 100% on the bottom-line or more. What are you doing to address this? I know buybacks are a little tough, because of where the cash is. I know you're buying shares in the subsidiary. But there's a disconnect here where either someone comes and approaches the company at a five times multiple for a software -- a 30% growing software company. What are you doing to address this on the IR side, on the buyback side? It just doesn't seem like it can last.
Najeeb Ghauri: Mike, very good point. Look, this is what we do. We want to make sure that we create strong return on investment for the shareholders. Secondly, we know it and the market knows, I'm sure you know this too, that we're trading five times, but it should be, in my opinion based on what we're seeing, should be 20 times multiple of EBITDA numbers.
Mike Vermut: Sure.
Najeeb Ghauri: So, there's a huge gap there. And I think by delivering a strong year right now, by showing continued growth in the company for last two years, we came back with a vengeance. From 2014 to now where we are as Ascent platform and current product line -- I mean the legacy product line, we will continue to grow and reach out to new investors, new analysts and new managers to look at this company, that this is an opportunity to create a tremendous new investment for the new investors. And of course, we have a new IR firm, who has done a great job so far in building the market base and they're working with us on some non-deal road show in the coming months. So, I believe we will get attention that we need, we deserve and it's a matter of time, and it's all we can do to deliver each quarter-after-quarter, year-after-year. I think the market will realize that this is one of the most undervalued company in the market.
Mike Vermut: Agreed. Look, it's great to see all the hard work paying off in the results. So, keep it up guys. This is excellent.
Najeeb Ghauri: Thank you, Mike. Any other questions, operator?
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Najeeb Ghauri, Founder, Chairman, and CEO for any closing remarks.
Najeeb Ghauri: Thank you again for joining us today. As always, on behalf of our Board and management team throughout the globe, I want to thank our shareholders for their continued support and belief in us. Operator, you may now end the call. Thank you.
Operator: The conference has now concluded. You may now disconnect your line. Thank you.